Operator: Good day and welcome to the IAC and Angie Home Services Q3 2017 Results Conference Call. At this time, I would like to turn the conference over to Mr. Glenn Schiffman, CFO. Please go ahead, sir.
Glenn Schiffman: Thank you, operator. Good morning, everyone. Glenn Schiffman here and welcome to our third quarter earnings call. Joining me today is Joey Levin, our CEO and Chris Terrill, CEO of Angie Home Services. Match Group held their third quarter earnings call yesterday morning, this will be a combined call to discuss the results of both IAC and Angie Home Services. Similar to last quarter’s supplementals or earnings release, we've also published our quarterly shareholder letter. We will not be reading our shareholder letter on this call. It is currently available on the IR section of our website. I will shortly turn the call over to Joey to make a few brief introductory remarks and then we'll open it up for Q&A. Before we get to that, I'd like to remind you that during this call, we may discuss our outlook and future performance. These forward-looking statements typically may be preceded by words such as we expect, we believe, we anticipate or similar statements. These forward-looking views are subject to risks and uncertainties and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in both IAC and Angie Home Services third quarter press release and our reports filed with the SEC. We'll also discuss certain non-GAAP measures which as a reminder include adjusted EBITDA, which we’ll refer to today as EBITDA for simplicity during the call. I’ll also referred you to our press releases and again to the Investor Relations section of our websites for all comparable GAAP measures and full reconciliations for all material non-GAAP measures. Now let's jump right into it. Joe?
Joey Levin: Thanks, Glenn. We had great quarter and we have a great outlook, and right now I just want to thank the 1,600 employees from IAC and IAC subsidiaries around the world because it’s a pretty rare thing for all the businesses at IAC to really be working, and that’s what we saw this quarter and that’s what the outlook looks like from here. So we should enjoy that and we should celebrate that for a second or two. And okay, celebration over. Let's turn it over to questions.
Operator: [Operator Instructions] We will take our first question from John Blackledge with Cowen. Please go ahead. Your line is open.
John Blackledge: So if you look at the three synergy buckets when the NGTO announced, it sounds like you are on track or perhaps ahead of schedule after reading the letter. Maybe could you title the commentary in the letter with how the three synergy buckets are progressing? $50 million to $75 million in cost savings do you realize within 12 months of close? Second one be the $50 million to $100 million revenue synergies monetizing Angie's audience against HomeAdvisor’s SPs and perhaps up to $75 million in further revenue synergies over time.
Chris Terrill: John, it’s Chris Terrill. I'll only give you high level then go into maybe get some more color. I would say we are very positive on the cost synergies. The teams have been great and really hitting some aggressive goals in a complex merger. And so we feel very, very good there. Nothing that we didn’t expect and we actually have found some upside is some areas. So I think we will be right on target, nut overhead on that bucket. The second is monetization in terms of the traffic. Right now we are monetizing by the NG traffic by putting the HomeAdvisor matching engine and on some of key pages. It’s not all the pages, but of the pages that we put it in so far we have had very, very strong conversion even stronger than we potentially anticipated. And we still have to continue to test the homepage. We have got a very light tester now but we believe that would be equally effected. So we believe in terms of monetization on traffic is ahead on some regards to what we thought it would. And then in terms of the last bucket that will take some time to get towards, we think it came. But early read is that we believe there are tremendous opportunity for a combined sales force, there are opportunities to provide a stronger cost company product larger SPs. So we feel good about that but that’s going to take some time to get to where we think it will ultimately be.
Glenn Schiffman: Just to put some more specifics around it. We have talked about at the announcement that the low end of that range, a 100 to 250, would be realized in the 2018 timeframe, and as you could see we are very much on track, if not ahead of that. You also saw in the shareholder letter that any of the overage that we are seeing, we are going to get that right back into the business for this year. We gladly trade a little bit of EBITDA for a lot of opportunity and that’s kind of what we are doing here. As we roll out of 2018, we do see a clear path for the $250 million the high end. And jumping in one of the reasons why we think we are a little ahead on the expense side, all of the actions that we wanted to put in place to achieve the expense synergies, those have commenced already, those will be running, rolling through this quarter. All of the third party spends have been auctioned. Again, those are going to be lowering through this quarter. You recall though the $50 million to $75 million was after revenue foregone. So we have assumed and you see that portion of fourth quarter revenue guidance we have assumed some degradation of the Angie's revenue stream and the expense savings. So over time beyond 2018, as we look to [stem], that revenue degradation there in could lay path through upside. But we will start January 1 at our target expense level. On the traffic synergies, Chris stated well, and because of the incremental traffic that’s really was driving our sales force acceleration that you heard Joey articulate in the letter. And the third bucket is 0.75. Obviously we're comfortable with the low end of that range, but we see a path after 2018 to really chip away at the higher end. We're also seeing some other areas of upside. There is some upside in marketing. We will not look to take that this year '18. We’ll look to invest that in the business, but going forward there should be scaled clearly in marketing.
Operator: We will take our next question from Dan Salmon. Please go ahead.
Daniel Salmon: Joey, if we go back to when you renewed the Google Wheel and level set those businesses, I think long term worry investors could look at IAC and see a series of steps that could be taken to create long term value and you obviously executed upon those steps with the match IPO, the Angie Home Service transaction and you stock went down to see there was a transformative opportunity there and decided against that at least sort of time being. But today I think a lot of investors look at IC and those next steps aren’t as obvious. Perhaps there is something transformative in publishing. Perhaps there is a series of small acquisitions in a period of incubation. And since you're so conscious and how you manage investors’ capital, perhaps it’s a significant return if you don’t see appropriate risk-adjusted returns in new opportunities. So could you maybe take it up to the highest level and talk a little bit about how you and Barry and the board think about that basic question of what’s next for IAC.
Joey Levin: It’s a great question, Dan. First of all, the work on any of these businesses, and that include Match and Angie Home Services in that, they never gone. There is big opportunities in Match. There is big opportunities in Angie Home Services. They’ve been and they are very well organized right now with fantastic leadership teams, fantastic boards, clear strategic direction. So they are in a path and they know what they are doing. But there is still lot's to be done in each of those areas. There are big markets with big opportunities. I think within those businesses, lots of energy, lots of focus, lots of opportunity. I think -- what you said -- I appreciate a lot of what you said, but the one thing you said I disagree with this seeing those big opportunities and not seeing that or whatever your exact words was. Really what we see in - is we were going after and decided not to do that. A significant portion of that REIT and we decided not to do that, decide the capital, decide the competition was the opportunity that we saw in being a Vimeo tool platform in the cloud and the momentum that we have behind that with accelerating growth in revenue, accelerating growth in gross bookings and a customer base that was very sticky, very loyal and looks like it could be much bigger. And so we’re leading into Vimeo going after that opportunity. You saw we acquired Livestream in the quarter, or whatever it was a few week ago, and that one definite direction. We would like to continue to do more there. So we see big opportunity in Vimeo. In publishing, we are starting to see opportunity. I think I heard me disclosing publishing business into two bucket and the premium brand business where we have that cash, I think that’s starting to see revenue acceleration that’s starting to have a story that works, that’s starting to have competitive mode. So we are getting excited about the opportunity there. But again still very early, so I don’t want to -- but we are in the early stages of excitement there. I don’t want to overpromise. And then of course there is what's new? And we are certainly looking for the new leg of the stool, so to speak. I think on that opportunity we really are -- some what happened with Tinder. Tinder was very little capital -- I mean almost no capital upfront and a startup inside of IAC. And the cost of startup now is so low that I think we are going to continue to find opportunities there and we will lead in earlier stage to things at IAC now. It doesn’t mean we are not going to do acquisitions. We’re certainly looking at acquisitions. We’re certainly looking at new opportunities, and I think in any market even what I think of it as a pretty rich market, right now for M&A, I think there is opportunities, but going earlier stage it’s something that we are seriously considering and seriously considering in a few different format. There is some categories that we like. We think they is big markets and big transformative ways to approach them and we are going to trying to do that from the earlier stage.
Operator: We will take our next question from Ross Sandler. Please go ahead. Your line is open.
Unidentified Analyst: This is [indiscernible] on for Ross. Two questions on the Home Services. The trajectory of HomeAdvisor is strong, but there is a lot of noise coming from the Angie's merger. Can talk about while you're likely to see the next few quarters in terms of both one-time restructuring charges and a deferred revenue hit, how big are these two items likely to be and when will this first quarter be without them? And then you guys also said that you are seeing better-than-expected service request volume and lower cost of fulfillment with HomeAdvisor UI or [indiscernible]. Can you give us more color on what's driving that? And is this a meaningful uptick from your previous thinking?
Joey Levin: Let me take the first one. In the fourth quarter, we should see about $10 million of a deferred revenue write-off and our revenue guidance of $210 million to $220 million was after that $10 million. As we roll into '18, we think about another $10 million in ’18. That will be front-end loaded as you go through the year growing down to zero as we work into 2019. So from a deferred revenue perspective, we won't be clean until 2019. We will do as we did in this press release tried to lay out as clearly as possible. In terms of onetime merger-related integration costs, we think in the fourth quarter that will be less than $20 million and next year that will be less than $15 million. Again that will be front-end loaded. So the first second and third quarters probably will see the both of that $15 million.
Glenn Schiffman: I think your other question was on to the thesis of monetization and putting the matching engine into Angie’s list and our -- basically what we were hoping to do is we will matching engine, take advantage of a lot of traffic that was being under-monetized. The concern what we will wanting to manage was those that have a negative effect to the existing Angie service providers. The sort of great news and surprising news was that the conversion is so much better, the experience is so much better that we're actually giving the monetization but we're driving more profile views and more direct halls to those that existing base of Angie Service providers. So we're giving the upside of the monetization. We're actually driving better results for the existing service providers. That was the big surprise. Again it’s only on some of the key pages outside of the home page, but we believe we've seen on those pages, what we flow from the home pages as well, and that’s a positive surprise and a good example of just how strong synergies are between the two companies.
Operator: We will take the next question from Chris Merwin. Please go ahead.
Chris Merwin: You talked about the cost synergies turning ahead of plan and basically how you're going to reinvesting that in growth. It sounds like sales force is the only most probably concern and you're also working to optimize the Angie user experience. But just wondering if there are any other growth initiatives that you can call out particularly product focus ones. And then just secondly for Angie, so wondering if you could help us think through this phasing of revenue and EBITDA growth in 2018 and maybe just probably not going to be linear and near-term profitability will be impacted probably earlier on as we have sales force hiring before those sales people become productive. So just was curious if you could help us think about the shape of the revenue and EBITDA as we move to 2018.
Joey Levin: Good question. Thank you and welcome you to the call. I know you just starting covering us where you questions Goldman Sachs about -- so it’s helpful to have you on here.
Glenn Schiffman: Also with the stepping price, you want to edit one thing out of your first question. I think you said sales force concern. I think we were all looking at each other thing and that’s a sales force opportunity, but I will leave that to Chris and Joey. Look, in terms of phasing in of the revenue of 2018, it’s the great question. You saw in our press release pro forma combined full year or over full year revenue growth of 18%. In the fourth quarter that’s going to jump. I talked earlier about the revenue degradation that it’s happening at Angie’s list and some other products that we're proactively shuttering. And of course when you take out the volume of cost that was taken out of the business, it will no doubt impact revenue. So that 18% which is pre-deferred revenue that dip. And then that will rebound off of that dip into next year, but on the revenue side that will be back-end loaded as the synergies roll through, as we have more time to address the decline in revenue. On the EBITDA side, remember the fourth quarter is seasonally week, the first quarter also is seasonally week. And EBITDA doesn’t some respect follow revenue. So EBITDA will also be back-end loaded given the nature of the business and the realization of the synergies.
Joey Levin: I think your other question was on product upside, let me break it out in terms of what we can do for Angie’s list relative to what we're doing with HomeAdvisor. I would say there is too many list, but I will give you few. There is some on the service provider side and some on the consumer side as well. But we focus on the most important is that -- I think the service provider side and that’s delivering more value and more opportunity to the Angie’s list having advertisers beyond sort of the benefit of putting our conversion following, which is part of our matching engine. That’s driving more page views, more calls to existing service providers. We're looking the how we bring in on demand products and what those service providers take advantage of instant booking and instant connecting to service. We are looking at things like exposure over time for some potential Angie’s subscribers on the HomeAdvisor side. We were looking at those combined products to get more coverage to larger service providers, particularly the larger meeting international size guides. So there are number of things that we have seen that are very, very low-hanging fruit and those are just the first thing we have looked at there are series of many other areas that we think we can provide value to those service providers create a better experience. And then on the consumer side, there are number of pull-through for those on demand product for service products for subscribers benefit the home owner picking up as well. So I think we are just at the early, early stages of what we can do and we see a tremendous amount of opportunity.
Operator: We will take our next question from Jason Helfstein. Please go ahead.
Jason Helfstein: Two question. First on Angie. I think you guys have continuously talked about this $200 million upside as you can better match up customer demand with supply and you talked about 50% of that capacity in your letter, and kind of you implied that 40% upside gets that $200 million. What about the pricing? Effectively you're talking about if you do a better job with the win rate that would imply your better pricing, how do you think about that over time? Presumably you don’t only just put the two companies together than increased price. Is this gradual? Are there new dashboards you launched to help the SPs better understand the value you provide to warrant that price increase? That’s question number one. And then Joey, just on the $1.2 billion in cash. If there is no meaningful M&A and investments you start companies are relatively small. Is there anything that would stop you from borrowing back stock, obviously you did effectively buy back Match’s stock. It’s quite an attractive price in the quarter. And I guess lastly, on the ultimate spin-off Match, while you alluded to still coming upside in that business, they are clearly hitting on all cylinders, why wouldn't now be good time to probably spin that asset off and give that asset the liquidity it seems to need.
Chris Terrill: So I'll take the pricing question and sort of how we think about Angie’s list where the opportunities are. Let me tell you, philosophically to your point, we had a low take rate but we always think about pricing on HomeAdvisor side as being sort of geo-based pricing. Sometimes we’re moving prices up, sometime we’re moving prices down. You’re always trying to adjust towards the supply-demand characteristics and you move price where you can. I think the Angie’s model that was a little bit of simple model. So where the advertiser pay, they exit fee, but we still want to make sure they understand how they are deriving their value, how they have the tools to get inside sort of the page views or calls. I think what will be interesting as we add sort of on-demand products areas where you get a direct relationship and you can measure that more effectively, you will have a performance marketing metric and we will charge much would be the fair price for that direct content to the home owners. So I think there’s lots of upside in terms of giving more visibility to the Angie service providers and then putting more of these products in their performance base and allow the service provider have direct understanding of the spin relative to their ROI.
Glenn Schiffman: And on the cash aging, we are certainly thinking about all opportunities in terms of what to do with it. I think your point out and buyback is right. We did do an effective big buyback $500 million at Match in the last quarter. I think we’ll -- I'm going to give you the generic answer that we always give, which is buybacks are something that we always think about and we think about that as against M&A and we compare M&A opportunities to return to be good at within by our own stock and we will continue to think about that. We are aggregating cash to some extent. We did a couple of different financing recently and that is getting cash for a time when cash is relatively easy to access and we may be okay holding that and until the time when cash is less access and therefore more valuable. But again we’ll see. It really just depends on the opportunities that present themselves. On a Match spin, I'm also virtually going to give you the usual answer which is it is something that we think about, continue to think about. The flow is a question that we’ve gotten a lot when shareholders. One thing that we have been lucky to do to improve the size the float is improve the share price and that’s and therefore there is technically a lot more dollars of float now than there was three months ago or six months ago. But that is something that we think about and we will always think about.
Glenn Schiffman: As you see little fact that were out there, as we're willing to Match you saw in our press release or you should see in our press release that we now own 222 million shares of Match. So as you think about your some other parts model, just make sure we get that. That’s one. And two, gaining back toward -- it’s all about adding value to these SPs and even though there hasn’t been material movements in price, our revenue per SP as you saw in the letter grew 6% year-over-year. That’s the highest revenue per SP has grown since the early part, since Q1, 2016. So as for that all of that providing more value to the SPs and getting them closer to the transaction.
Joey Levin: And given that we're growing service request faster than service professionals, we are -- and we talked about this a little in the letter, we're effectively reducing price right now. And I think that’s okay. While we're trying to grow the SP network and I think that’s the phase later on growth SP side at the moment not the SR.
Operator: We will take our next question from Peter Stabler. Please go ahead.
Peter Stabler : A couple for Chris if I could. Chris, you’re combining a couple of large SP networks here, can you give us a bit of a sense of the go to market strategy? If I am an SP who has had a couple of years of experience and have a current contract with Angie, am I going to get outreach from my sales reps on HomeAdvisor products kind likewise on the other side and that have been an SP with HomeAdvisor? Am I going to get outreach out and Angie that products? And then what if from a new touch? What if from a new SP, and I’m getting my first call from Angie Home Services? Can you give us any sort of color on what kind of sales experience we’d be encountering?
Chris Terrill: I like to think we have done an amazing job in a short amount of time and that we're further had a thought would be in some regard. I think that’s an area that I - it’s going to take some time. It’s very complicated. As you can imagine, it put something like two sales force together. They have two completely different back-in, different models, et cetera. So that is part of our longer term plan. The good news is we're already starting to see some moment of sales into sort of from one side of that to the other. We're starting to think about how we would let them sell to both sides under a unified sales force. And we have an outreach to larger service providers who naturally would like to have more business in top into the HomeAdvisor. That is an easy thing we can do without having to have a specifically combined platform. I think it will be a while before you will see a truly unified sales force for someone to sell either product just because of the complexity, but I do think that we will get there over time. And certainly from our conversations, with service providers we just have a 1,000 of Angie top service providers out spent a lot of time with them. There is interest in potentially a combined product and it's not technically combined with the near term how we give them access to HomeAdvisor in the unique way. So we are at the very, very early stages our goal certainly will be to have a unified sales force over time, but it's going to take a while to get there.
Operator: We will take our next question from Brian Fitzgerald. Please go ahead.
Brian Fitzgerald: Maybe on Vimeo. We have noticed more advertising on YouTube and other sorts of there. Can you talk a little bit about the recent marketing efforts around Vimeo, the ROI you are seeing from different mediums? And then maybe can you just discuss the strategic rationale behind Livestream and your long-term plans there?
Joey Levin: Sure. On Vimeo Advertising, Angie we increased ARPU of these users our marketing opportunity or allowable spend increases. So we have been able to expand the marketing there. I think it is all the marketing we are doing on Vimeo is at a substantially positive ROI right now. It is all online that we have identified - basically all digital. I mean we have done -- I don’t what you call hard cash but we -- between digital pocket that’s where all the marketing goes. We haven’t gone to TV or radio or somewhere the other media we use for other businesses. But the online marketing for Vimeo is going very well and one of the things we are also doing there is expanding that marketing internationally. We have always had a great paying subscriber base for Vimeo outside U.S. but we have done very little marketing outside the U.S. And so now that we understand our allowable and those of increase, were outspending internationally now too, which is encouraging. In terms of breaking down by channel online, I don’t have that in my head right now, but I do know that overall is had a strong return. On the Livestream, it was live with our highest requested feature from our users. And not only with the high requested but it was the one that users said they were most willing to pay for and were accustomed to paying for. So when we look at the market we said, number one, we are building a solution here, which we did; but number two, can we move in even faster with capital and we looked at everything that was in the market and now I'm talking about company called Livestream. As against the concept of live streaming, the company Livestream was far in a way the leader because it had a turnkey solution that customers like that had a sticky customer base, and that’s why we bought them. And I think we are going to continue to integrate the product of Livestream the company with Vimeo the company and that will be essentially a seamless upsell to Vimeo user. And I think they were doing Vimeo is finding incremental products for that audience, incremental products that makes sense to pay for and delivering those products with each uses in ways that is very simple for anybody to use. And Livestream I think is basically the first one of those, but we’ll continue to look for more.
Operator: We will go next to Paul Bieber. Please go ahead.
Paul Bieber: I was hoping if you could parse our how much of the increased sales force investments from strengthen in the core business versus the synergies you're getting from Angie’s side?
Joey Levin: One word was sort to say, did you say how much of the response to strength in the core business or… is it results? Okay. I think it’s a combination of the two, but -- go ahead, Chris.
Chris Terrill: The question is what - is it more Angie list or is it more of our investment sort drive sales force growth. But the good news is we're giving upside from some of the Angie’s list sales force transitioning into the Home Advisor role. That’s tremendously beneficial. We didn’t know if we’d be able to do that and we had tremendous success converting those folks and they’re been highly productive. So that’s a win and accelerates our sales force growth beyond that. We're little bit slow in the first half of last year being able to ramp up our sales force due to some real stay constraints and getting sales up. Those are up in place. We’ve really start from the gap. We’ve got lots of classes rolling through, and I think that will roll into next year and help us accelerate our sales force growth. If you look historically of what we've done, we kind seesawed. We have high SRs, and then we catch up with SPs and then we have high SPs we catch with SR. That’s been our trend. I know it’s always pretty but that’s seesawing is how you build up this marketplace and so we're now starts to get more service providers. I think you will see that strengthen next year and we will be the beneficiary some of that coming from Angie’s list and a lot of that coming from our acceleration investment in the sales force.
Joey Levin: Remember, we also on HomeAdvisor side this year stepped up our marketing a lot. And marketing of course is one of the ingredients that drives SRs.
Operator: The next question comes from Rob Sanderson. Please go ahead.
Rob Sanderson: I’ve got a couple of quick ones and then a more substantial one. First can you comment on how much the Angie sales team has to change through the combination? Can you also remind us that thinking on their premium membership services and the likelihood that any membership revenue streams will continue under the new company? And then on take rates, you compare the 3% to 4% take rate in Home Services against some of the other large market places rentals right here as e-commerce et cetera, clearly substantial structural differences and we take real opportunities with very different cost. These marketplaces. My question is really whether there is any rule of thumb or benchmark to the cost structure service providers? How much they typically allocate to marketing and how much that you could potentially narrow? And then also alongside that whether you see opportunity to provide value into some of the other expanse items under service provider partners over time?
Unidentified Company Representative: So I will work out kind of many -- On the take rate, I think your question is what was the historic take rates for these guys, I think it’s a very low end. We feel fact that these guys have historically been 5% to 10%, I think, seen other things that can be significantly higher than that and just to pin on the title of service and formal high remodeler, et cetera. Nonetheless, I think we had a lot of room to move and I think as long as we're delivering value we are also getting high ROI the real benefit is for these guys to build both their businesses to grow the number of jobs they do and it’s a win, win for both of those. So I think we have the ability to move up, on our take rate and certainly as our win rate goes up, our take rate goes down. So we have move no matter what. But we are moving possibly and slowly. I think the goal is to build the business and love that come in over time. So I don’t know what's that exactly what you are looking for, but I think we have a lot of room, there is a lot of upside in terms of what our take rate is.
Joey Levin: One other point on Rob’s question there was what do we know, about the service professional cost structure I think and the part of that which is the what would we think they have historically spent on marketing but there are other components of their cost structure that our solution can address. For example they have a reception there today somebody is who is responsible for calling leaders find the leaders scheduling -- or things like that. And [indiscernible] solution to get to a transaction the more they can address those cost on that side.
Joey Levin: Absolutely. Philosophically our goal is to let these guys do what they do best which is be a good tradesman, and if we can take away as much business for exchange whether that’s getting their next job or do those jobs more efficiently and effectively using any help that solution or even just using our -- that makes them more effective, gives more capacity and they make more money. So that’s a huge part of what we are focused on.
Glenn Schiffman: And another feature their cost structure and this is the real nirvana, which is I think a long way off but a lot of their cost structure is transportation or time getting from point A to point B. In a perfect world, we could schedule service professionals to A from starting at their house to looking around to ending at their house with no time in between. Again that solutions allowing well, you can imagine that’s getting better and better and that is as we grow putting on supply side and putting civilian side under the base.
Unidentified Company Representative: And I think the difference from others is to a lot times these guys chasing customers aren’t serious and don’t put them on the job that is a real cost of their time and we believe that we have got the best solutions to get the most high quality of home owners was that they are spending more time doing job and not chasing the sale.
Joey Levin: On your first two questions, I'm not sure I got it 100% but on the premium membership you are talking about consumer.
Unidentified Company Representative: I think on the consumer side customers are doing -- supported yes we will continue to support that we have modeled that revenue will continue to go down over time. We are not doing anything to impact that revenue and there are even some things we can do to add more value there that we’re exploring. But we will continue to let that sale play out. The first question, I think you Angie’s sale looking at --
Rob Sanderson: Yes, just any comments on I guess sustainability of that team and there is still mostly there or mostly the part of.
Joey Levin: So one thing to think about is we had different sales philosophies and we believe our philosophy is a more effective structure in terms of productivity. And so we have taken some of their structure their set or structure and converted it more into our structure. And so because of that yes, you might nominal basis looks like there are lot post there but from a productivity perspective we believe our sales strategy is more effective and we will continue to put sales against new originations branded list and be able to do it in a way that saves cost but drives high level of productivity.
Rob Sanderson: Thank you, gentlemen. I think we got that the best first thing in the world, working on this great spin, home advisor and its just done unbelievable work here and getting him access to the incremental sales forces is that something that they will do.
Operator: We will take our next question from Samuel Kemp. Please go ahead.
Samuel Kemp: So Chris, on the accelerating case of sales hires, you guys talked about product supply side constraints but you are also only hitting 60% of utilization of that SP budget. Can you talk about puts and takes that are other geographic issue where you don’t have enough supply in certain area? Is that because you anticipate ramping that utilization via Angie? Or is there some reason that SPs maybe don’t want to increase the utilization at really a fast pace? And then Joey on Vimeo. There is clearly a big desire for content from a lot of different players in the Internet, can you just talk about your appetite towards doing partnerships with populate or help populate different platforms with professionally done content.
Chris Terrill: So in cap utilization, I think the simply way to think about it is you have roofers in Atlanta and there is huge demand there, we may be using a 100% of their capacity. You may have roofers in Detroit who you said I want to spend X but we just don’t have as much demand there and so we don’t utilizes much of their capacity. So we have our matching algorithm. We're always trying to fine tune that. We're always trying to get those two things and think as best we can, but the reality is sometimes we can’t in an areas where particularly top end of days and top categories formatting each of that electrical. We need to have more service providers and that’s why we're investing in our SP base because we believe we can by enrolling that SP base, take advantage of that demand. We're also for some of you set the high cap, but we are meeting it, we’re spending time all the time kind how do we drive demand in that area. So it’s an inappropriate systems. It’s nice to see that we moved up 7 points and utilizing that capacity, but it is very complex and/or constantly working to refine our algorithm that improve it, and I feel that day peer group force of adding more SPs you know there is typically the top MSAs where we know we would have a lot of demand is critical.
Joey Levin: The short answer is that not a priority for us right now. I do think and I do know that we help the creators of out of the new platform get work or get work discovered or match with financing. We don’t do that specifically with a system to do that. We do that buy finding and promoting great content on the platform through things like -- I know that. Many creators have told us that we’ve changed their career by becoming a new [safe] and then there confident therefore discovered and going on to great things in there career. We got a long way through examples of people who have done that. But we are not a principal in the transaction. I think that our value we add there contributes to the stickiness of our platform, the value of our platform and the value of the brand and the reason why people come to us and use us, but we're not focused on becoming a principal in that transaction right now. That stated we won't or pass in the future, but at the movement that’s not priority. We really are focused on delivering the fast service for our customer base and what we think is $10 billion market.
Operator: We will take the next question from Kerry Rice. Please go ahead.
Kerry Rice: Going back to Angie’s home services, the 50 million in revenue decline that you are expecting, obviously some of that’s coming I think from the write-off of deferred revenue and it sounds like maybe the decline in the premium circuit in terms of consumer side on Angie. Is there anything else that you would kind of call out there as if you were an Angie service provider and you are also on home services, does that one side of that monetization go away and then as you think about this as whole view, do we think about Angie’s home services or maybe just Angie’s revenue trouping out midyear of next year. Any context around that? And then as we think about the cost synergies, is the fan in that first bucket cost synergies to get those Angie’s and home services on in the same platform so you have the same backend? Or is that kind of in that third bucket or not in any of those buckets?
Joey Levin: Yes, I'll start with the first and then maybe Chris answer the last. I’m going to answer your first question. Yes, the platforms, they were not combining the platforms any time soon. Obviously platforms are extremely complex. Angie has just completely spent two or three years, re-platforming. They have a very solid, stable platform that serves specific needs of their service providers and home owners. We have our own unique platform. So there is - while we keep the brand separate in the near term, we will also keep the platform separate. No we will continue to integrate almost as if we were big strategic partners with one other and we will add things into their echo system from a product perspective. But there is no plan to combine - and there is no really need to combine the platforms. We can do much of what we need to do even from a sales force integration perspective we can put hooks into our backend and into their backend that allows someone to be able to sell both products in the same screen. I mean there are things we can do to make the business integration to reality as we need with that having to sort of plan the two very complex platforms together.
Chris Terrill: On your first question, I don’t know what that $50 million number is which you quote. I don’t think we have talked about a number like that. We talked about revenue degradation. But the revenue degradation, it comes from the differed revenue that you mentioned. Yhat’s one. Two, we are shattering certain revenue streams that they had. Three, there is of course going to be a revenue impact to the cost savings that we are commencing and we will be at our steady run rate by GM1. And then also remember their SP network has declines year-over-year. Sorry Angie’s SP network has declined year-over-year. Angie’s consumer membership has declined year-over-year. So -- and their revenue has declined year-over-year. So as we talked about it earlier, it's going to take some time for us to -- for us all to turn that around.
Operator: We will take our next question from Doug Anmuth. Please go ahead.
Doug Anmuth: This is Cory Carpenter on for Doug. Two questions, one on Home Advisor in your international efforts. You are clearly going to be visit your next few quarters of the integration. But could you give us an update on how your European markets are progressing today? Were you have been the priority that would be for you over the course of the next year? And then on applications, in the letter you mentioned the mobile app business moving to a subscription model, just any more color or examples maybe that you could provide there will be helpful.
Joey Levin: Sure, on HomeAdvisor International, the business is going well but it’s really five different businesses in five different countries and each one has its own story. I think that going to be continued investment for while. The key in each of those of markets is to build it up liquidity and the supply side and the demand side if you can get the wheel going and that takes real time and real capital. I don’t think we're at sort of breakout levels in any of those five countries. So we're going to be have to paid to done that one with investment. On applications mobile business, I think our first example there was coloring of both products which amazes me but basically is black and white outlines of things to color in. And if we release a new picture with whatever frequency we release one and that is subscription product and something that people really enjoy doing. I think there is a bit like as we thinking from now, but those are example of where they are. There is fun like - chosky type products. I think we have one in whether. There’s another example, and they are relatively low price and quick reliable utility. That is in a small piece of applications overall but I do think very promising and growing.
Operator: We go next to Ron Josey. Please go ahead.
Unidentified Analyst: This is Shweta for Ron, a quick question on balancing supply and demand. So supply grew 25%, demand 36%, how do you -- can you elaborate a little bit on how you think about growing supply without sacrificing quality on the platform and add effect.
Unidentified Company Representative: I think, as the s growth both simultaneously signals difficult part of this market place and its complex market place. In many ways we're constantly looking to accelerate our FD growth, I think we said in the past is sort of a stair step function you have to get centers build, you have to get folks trained and you have to as you go to the next level, we have to have manager who can manage those centers and new trainers and train new folks and so we're confident of thinking growing that trying to keep up. I think in this case we have a tremendous serge in demand, typically begin at the year we have some SCO benefits that came through, some other areas that were, we think to the upside but it may be in balance for little stronger then we had hoped. So we're confidently looking to keep those two things as close as we can and balance that, I think as we said earlier is the years half, with some of these up of down in some of the areas and that’s just a major of the market place and particularly a market place that is still young and still moving from offline to online and with rest of a low penetration, I'm guessing in 10 year or whatever it takes, we will be in a more stable balance but right now you're going to see those fits and starts as we grow in the market place. Operator we think we have time for one more and [indiscernible].
Operator: And we can take that question from Victor Anthony. Please go ahead.
Victor Anthony : So in the publishing you talked about viewing the segment more as optionality. Are there any assets where the significant investment and just to follow up on your [venial] question on the Vimeo question that you have got some Vimeo lines in the acquisition of live stream. What is the modification opportunity with our live video? And how does the service differs from some of the free social media live streaming services that’s out in the on the market today?
Joey Levin: I'll do the one third. Live video is -- actually live stream is a significantly higher revenue per user than Vimeo does. And it’s a product to people who understand they need to pay for it. It uses a lot of bandwidth and it’s a real service and you want that service to be reliable. It’s dramatically the service that we offer through Vimeo live stream is dramatically different than for example Facebook or Twitter product. Those products here try to broadcast on somebody else's platform meaning Facebook's platform for example. And you don’t need tools surrounding that to engage with your audience where live streaming if you have an event or you TTO [indiscernible] want to reach employees you need to a platform that you can control, that you control who access this that you can control accountants and a way to think surrounding that and you are not looking to monetize it. With advertising you are looking for the most reliable platform to reach audience that you need to reach. So people pay for service like that. And it’s a again its higher ARPU, because it will bandwidth processors we are delivering that product at high quality. On the publishing question I think that there is a possibility at qualifition the point of self-investment. I don’t -- I think right now it is more than self-funding and I think my view is next year it is even more than that self-funding. But if there were an opportunity to lean into it and the trends continued the way they are -- we see traffic growing in that business, I don’t know 30%, 40%, 50% and across different verticals within broadcast and we see revenue growing 20% and I think that’s going to accelerate next quarter. so when we see momentum like that and a way that we believe the sustainable real competitive mode we will lean into it but I don’t -- I see it only theoretically that I don’t expect that investment near term.
Joey Levin: Alright, thanks everybody we very much appreciate your time and today and yesterday and we look forward to speaking to you in three months.
Unidentified Company Representative: Thank you.
Operator: And this will conclude today's program. Thanks for your participation. You may now disconnect. Have a great day.